Roy Bagattini: Good morning and welcome to our 2026 Interim Results Presentation. I'll start with a high-level overview of our performance for the period, after which our Group Financial Director, Zaid Manjra, will take you through the detailed financial results for the half. I will then provide an update on how we're tracking against our various strategic priorities and offer some thoughts on the outlook before we open the floor to questions. To put our results into context, I would like to remind you of our starting point, our recent focus areas and how, as promised, our initiatives are now driving results. Going back just a few years, we were operating with businesses that had historically underinvested in their back-end capabilities while still navigating the legacy impacts of the David Jones era. As a result, strengthening our foundational infrastructure was our foremost priority. So in recent years, we've undertaken a series of deliberate initiatives to rebuild and modernize the operating backbone of our group, particularly in our apparel businesses. These investments have materially strengthened our core, creating a powerful platform for sustained momentum and value creation. As you may recall, we also have new leaders in our group, notably CEOs in CRG and FBH and a Chief Customer Officer in Woolworths, all of whom already are having an impact. And together with the rest of our leadership team are relentlessly focusing on both leveraging past investments and driving future growth. And we are now seeing this translate into improved top line momentum. We grew group sales by 6% in constant currency, well above inflation with each of our businesses outperforming their respective markets over the period. While there was some benefit from a marginally improved macro, particularly in South Africa, the primary driver of improved performance has been internal, the result of disciplined execution and self-help initiatives that are gaining traction. That said, as expected, and as I've shared before, we've had to contend with a few headwinds to our gross profit margins. Firstly, the impact of the significant capital investment we've made in our Food's Midrand distribution center at which we've now begun to depreciate. Secondly, we've taken deliberate actions in this past half to clear excess inventory in our apparel businesses. And then we have also invested in pricing in key categories. These, together with ForEx impacts, which Zaid will unpack a little later, has resulted in a more moderate aEBIT growth of just over 4% in constant currency. Growth in aEBITDA, however, is stronger and a much fairer reflection of our underlying operating performance. From a divisional perspective, our world-class Food business achieved yet another good result, notwithstanding the lower inflationary environment. We continue to take profitable market share month-on-month, and we continue to deliver leading returns on capital even as we invest in future growth. In FBH, as promised, we are seeing the benefits of the transformational investments in our value chain that we have made over the past 3 years, translating into improved availability and better trading densities. We've gained market share every month since May, including in our rapidly growing denim offering. And in fact, over the past half, our FBH business delivered by far the strongest total and like-for-like sales growth in the sector. Our Financial Services business, WFS, continues to perform well, delivering a strong underlying result and the healthiest impairment ratio in the industry. And Woolworths Ventures, which we'd like to think of as our strategic growth accelerator, continues to deliver double-digit growth. Turning to Australia. The retail sector remains challenging and highly promotionally driven. Against this challenging backdrop, CRG delivered an acceptable result and a much improved one from what we saw in FY '25, with benefits from both our brand repositioning and the restructuring of CRG's operating model now coming to the fore. So all in, this has enabled us to deliver positive earnings growth in the half with adHEPS up around 1% and almost 4% in constant currency terms. Maybe not quite the quantum of growth we would like to have seen on the bottom line, partly given the unforeseen ForEx impacts, but it does validate that FY '25 was our trough year. Our direction of travel has clearly shifted and we are delivering improved earnings, something you should expect to see continue from here onwards out. And importantly, cash earnings are improving, supported by, of course, the release of working capital, and that's resulted in a free cash flow. I'd expect this trend to sustain as our apparel inventory levels normalize in the second half and we move beyond the peak of our CapEx cycle. These results are indicative of the fact that we are very clearly and deliberately shifting the trajectory of our businesses with a lot more to come now that we have the foundational capabilities, structures and processes in place. But success isn't only about financial performance. We continue to lead the market in many respects, whether it's the external recognition of our quality and innovation from award-winning products to best-in-class marketing campaigns or the industry standard we set in sustainability. Our much loved and trusted brand is held in the highest regard. These attributes are entrenched right across our group, underpinned by our Good Business Journey, our GBJ. At Woolworths, our vision to be one of the world's most responsible retailers isn't a public relations line for us. It defines how we operate, and it is backed up by our Good Business Journey strategy, a commitment to care for this planet and the people who live on it. We strive to ensure that every decision we make, every product we source, every supplier we partner with is measured against the impact it has on people, on communities and on the planet. We don't get this right 100% of the time, but we strive to put checks and balances in place to help keep ourselves and our partners honest and accountable. You may recall, our GBJ encompasses 3 pillars, along with associated focus areas. Whilst we have umpteen initiatives across these 3 areas, one of our newer ones in building a thriving and resilient environment is what we refer to as green logistics. We now have 20 trucks like the ones you can see behind me, which use the momentum of their trailer wheels to generate energy for refrigeration, ensuring our uninterrupted cold chain. Added to that, more than 50% of our food online delivery fleet are now electric vehicles. Our inclusive justice pillar encompasses what we do in caring for our people and our communities and our commitment to being a more diverse and inclusive business. At its core, it's about elevating the focus on humanity. And so we were very proud when Woolworths was voted as the South African Business of the Year at the recent Standard Bank's Top Women Award, acknowledging our commitment to championing gender equality and women empowerment. And in January of this year, we were once again accredited as a Top Employer for 2026 by the Top Employers Institute, marking our second consecutive year of recognition. This accolade reflects the meaningful strides we are making in shaping a world-class organization and fostering a supportive inclusive environment where our people, our brand ambassadors can thrive. And on that note, I'd like to take a moment to express my sincere appreciation to our people who are simply put the most outstanding in the industry, our suppliers who play a vital role in creating the exceptional Woolies difference and of course, our customers, you are at the heart of our business. Thank you. Thank you for loving our brand as much as we do. And with that, I'll now hand over to Zaid to take you through the financial performance for the half in more detail.
Zaid Manjra: Thank you, Roy. Hello, everyone, and welcome again to the Woolworths Holdings 2026 Financial Year Interim Results Presentation. Today, I will take you through our results for the half year ending December 2025 and provide some insight on our performance and key financial metrics. I will also give you a view of how we have traded for the first 8 weeks of the second half. Before I get into the numbers, I would like to start with the key financial highlights for the period, which Roy has briefly spoken about in his overview. When we delivered our FY '25 results last September, we indicated that the year marked a trough for the group. So it is very pleasing to see each business now in positive territory, growing both the top and the bottom line, although sales grew at a faster pace than earnings. All our businesses have increased sales ahead of their respective competitor set and grown market share. We, however, had gross margin pressure in each of our businesses for different reasons, some temporary and some structural. The Food margin has been impacted by the investment in expanding our Midrand DC, which is now operational. In addition, the increasing proportion of online sales continues to dilute the Food GP margin. In FBH, as we had previously advised, we invested quite heavily in price to further grow the kids wear and baby categories. This, together with the continued growth in Beauty, diluted the GP margin. During the period, we also incurred additional short-term storage costs as a result of the DC issues we experienced last year. In both FBH and in CRG, we also deliberately accelerated the clearance of excess inventory during our promotional periods. While our overall profit growth was positive, it was negatively impacted by the unforeseen strength of the rand in addition to weaker currencies in some of the African territories in which we operate. We will cover this later in the presentation, and there is also a consolidated view available in the appendix to the presentation pack. As we've previously called out, the elevated CapEx spend over the last few years and the consequential increase in depreciation charges has also affected near-term profitability, which is quite evident in our higher EBITDA versus EBIT growth in the Food and FBH businesses. Our focus on reducing working capital, particularly inventory levels has resulted in a ZAR 300 million cash flow release. This, together with our strong cash conversion has enabled us to maintain a healthy balance sheet. We have also improved our returns to shareholders by buying back shares and increasing the interim dividend by 10%. Looking at the key financial metrics for the half. Group turnover of ZAR 42.5 billion was up over 6% in constant currency. And within this, Woolworths South Africa increased sales by 6.8%, which is excellent growth in the current tough environment. From an earnings perspective, adjusted EBITDA of ZAR 4.6 billion was up 4.2% in constant currency and adjusted EBIT of ZAR 2.9 billion was 4.1% higher on the same basis. Our group earnings growth was impacted by the loss of rental revenue following the sale of the Bourke Street property last year, which contributed ZAR 108 million in rental income in the prior period. We used part of the sale proceeds to support the share buybacks, while repatriation of the remaining funds was deferred as the CRG business was being stabilized. However, these funds are now incrementally flowing back to South Africa. Consequently, adHEPS of ZAR 1.70 per share increased by a slightly lower 3.8% in constant currency and by 0.7% in rands. Our interim dividend is ZAR 1.18 per share, which is in line with our dividend policy of a 70% payout ratio. Our balance sheet remains healthy with group net borrowings of ZAR 5.8 billion. We are comfortable with our level of borrowings with net debt-to-EBITDA of 1.48x, including lease liabilities, which is well within our internal limit and covenants. We also achieved a significantly improved cash conversion ratio of 110% in the half. Notwithstanding an intensive investment phase, our return on capital employed of 16.6% remains in excess of 5% above our cost of capital despite being diluted by the Country Road Group. Woolworths South Africa's return on capital employed is much stronger at 25.7%. Looking at segmental earnings for the period, aEBIT for Woolworths South Africa, which comprises the Food, FBH and WFS businesses grew by 2.7% on last year, while EBITDA increased by 5.9%. The gap between the 2 reflects the impact of higher capital investments. The Food EBIT at ZAR 1.8 billion is up by 3.5%, while FBH is 1% higher at ZAR 771 million. The underlying profit after tax in Woolworths Financial Services was up 1.5% on last year. The Country Road Group EBIT was up 4.2% in Australian dollars, but currency translation had a negative impact at group level, resulting in a 0.6% decline in rand terms. I will now cover the Woolworths South Africa segment, providing some macroeconomic context before taking you through each of the business units and thereafter, looking at the Australian environment and the performance of the Country Road Group. The South African environment will be familiar to most of you, so I won't dwell on it other than highlighting that even though the macroeconomic indicators are showing early signs of improving, they are still below historic averages. These are not yet translating into consumer spend, which continues to be constrained, especially for middle-income consumers who are particularly hard hit, although we are very encouraged by the tax relief measures announced in the budget last week. Turning to our sales performance. Woolworths South Africa sales increased by 6.8%, dipping slightly in the last 7 weeks. This is in line with the overall sector as consumers constrained their spend over the holiday period. Our Food business achieved total sales growth of 7% and like-for-like stores were up 5.2%, which is well ahead of the market. We achieved this through positive underlying volume growth, which is supported by continued investment in our premium food offering and our customer experience. Internal price inflation moderated to 4.6%, driven largely by high meat prices. It's a key category in our predominantly fresh offering. Excluding just this category, price movement was 3.4%. Woolworths Dash, our on-demand offering continued to grow its customer base, delivering a 23% increase in sales. In Fashion, Beauty and Home, sales increased by 6.2% in total and by 6.4% on a like-for-like basis as we continue to rationalize trading space. These growth rates are significantly higher than our competitors. And notwithstanding the promotional intensity, our full priced sales improved this half and trading densities increased by 8.4% as FBH delivered pleasing volume growth in fashion with price movement of 1.3%. Our Beauty business delivered another strong performance with sales up 8.9%, and we were delighted with the continued strengthening of our Home business, which grew by 14%. Let me now turn to the segmental results for Food, FBH and WFS. I will focus on the key highlights with further detail available in the appendix to the presentation pack. Starting with our world-class food business. This segment delivered another good result, driven by strong top line performance, a testament really to the strength of our brand and customer proposition. As mentioned earlier, Food gross margin was impacted by the investment in the Midrand DC and continued strong growth in the online channel. Expenses grew by 7.9%, which includes store costs, which was driven by the opening of new formats, including those within W Ventures and incremental online costs. Adjusted EBIT grew by 3.5%, while EBITDA was pleasingly in line with sales growth of 7%. Our EBIT margin was at 6.5%, and our return on capital in this business continues to be best-in-class at 41%, notwithstanding the elevated CapEx investments we are making. Our recent acquisition, Absolute Pets, continues to grow ahead of expectations and contributes positively to the overall Food performance. Turning to our FBH business. We continue to make meaningful progress in resetting the foundational capabilities of this business to enable us to deliver more consistently, which is now reflected in our top line performance. GP margin reduced by 0.5 percentage point to 45.8%, and this was due mainly to our price investment in kidswear and baby, our successful promotional campaigns, including Black Friday and the dilutive margin effect of a growing beauty business. We also incurred additional short-term storage costs arising from the DC issues last year. We will continue to further reduce inventory levels and distribution costs in the second half. Expense growth was contained to 5.5%, notwithstanding the impact of investments in strategic projects and ForEx losses. As mentioned earlier, the movement of ForEx rates between the South African rand and the currencies of some of the African countries we operate in had a material effect on our profitability. This was mainly in Botswana and in Mozambique. Excluding this, the adjusted EBITDA would have been up 6.7% with adjusted EBIT increasing by 4.6%. Our broader African operations remain profitable and continue to contribute positively to the FBH performance, notwithstanding the currency challenges. The return on capital for FBH was 13.5%, which remains above the cost of capital. Turning to Woolworths Financial Services. This has continued to deliver a steady contribution to the group. The closing book was 1.8% higher and grew by 2.6%, excluding the book sales. However, net interest income declined by 0.7% due to continued cuts in interest rates during the period. We have continued to manage our risk exposure prudently. And while the impairment rate increased by 1 percentage point on last year at 6.4%, it remains sector-leading. The WFS business had strong growth in noninterest revenue of 19%, which enabled a 1.5% increase in profit after tax and a return on equity of 21.4%. Turning to Australia and the Country Road Group. Australia also had benefited from the commodity boom. However, inflation has surprised to the upside. And consequently, there has been a recent shift in the interest rate cycle. The rising cost of living pressures and the elevated household debt levels have weighed on consumer spending, while an intense and prolonged retail discounting environment has further shifted consumer shopping behavior. Moving on to the Country Road Group. We have successfully transitioned to the new operating model and the repositioning of the underperforming brands is delivering positive results, particularly in Witchery and in Politix. There has been positive growth in the half being particularly strong in November over Black Friday and Cyber Monday before slowing sharply in December. You can see from the graph on the right-hand side that the trajectory over the last 18 months has improved with growth in positive territory this past half. Country Road Group's gross profit margin was impacted by the higher level of promotional sales, but we managed to achieve a 15% reduction in inventory as a result. Expenses were held flat to last year. The operating model change allowed us to take out the stranded and dis-synergy costs as promised. We have also upped our marketing spend to drive top line growth. The Country Road Group delivered an EBIT of AUD 14.8 million, which is 4.2% up on last year, and we returned to profitability from a loss in the previous half. The return on capital employed is weighed down by the loss incurred in the second half of last year. We would expect this to return to above our cost of capital in Australia as profitability improves. Let's have a look at our capital expenditure, balance sheet and cash flow. A number of our multiyear strategic projects are nearing completion. The level of capital spend on value chain capabilities in FBH, the food DC expansion and loyalty is therefore declining. We continue to spend CapEx on customer-facing investments, including in the next-generation store formats while pursuing further opportunities in AI and other digital initiatives. We have spent ZAR 1.4 billion in the first half and forecast to spend a further ZAR 1.2 billion in the second half across the group. Our balance sheet remains healthy. Net borrowings for the group are ZAR 5.8 billion and broadly in line with the position at the end of the last financial year. The gearing metrics remain well within our target range and covenants. We focused on strategically managing working capital during the period and reduced inventory by 1.4%. Our return on capital employed for the year of 16.6% is adversely impacted by the returns of the Country Road Group, as referenced earlier, but benefited from ZAR 356 million of share buybacks in the period repurchased at an average price of ZAR 51.23 per share. In terms of cash flow, we generated ZAR 4.8 billion of cash from trading in the 6 months and free cash flow of over ZAR 2 billion, a really pleasing outcome. A highlight for me was the release of over ZAR 300 million from working capital management. As mentioned earlier, during the half, we spent ZAR 356 million on share buybacks. And cumulatively, over the last 4 years, we have bought back shares to the value of ZAR 4.2 billion. In addition to this, we have also repurchased shares for our employee share schemes on which we purchased over ZAR 500 million of shares in the first half of the year. We also paid the FY '25 final dividend of ZAR 733 million to our shareholders out of operating cash flows, and we'll be paying a dividend of ZAR 1.18 per share out of our first half earnings. Importantly, we have a very cash-generative business with a healthy cash conversion rate of 110% and a free cash flow per share of ZAR 2.31, which is more than 3x that of last year. Before handing back to Roy, I want to end with an update on recent trading for the first 8 weeks of the second half as well as share with you our expectations of price movement and space growth. Food growth is 5.4%, which is marginally ahead of the last 7 weeks of the first half. Price movement for Food in H2 is expected to be in the range of 3% to 4%, excluding the meat category, which remains uncertain depending on how quickly the foot and mouth disease is brought under control. The growth of 12% in FBH sales in the first 8 weeks has been enhanced by the earlier summer clearance sale in the current versus the prior period. The price movement in the next half is expected to be in a 3% to 3.5% range, and the Country Road Group sales for the first 8 weeks are up by 1.6%. This is ahead of the last 7 weeks growth with the quality of sales also improving. In closing, while our customers remain under pressure, we are pleased with the strength and the resilience of all our brands and the positive growth across all our businesses. The challenges of operating in a lower inflation environment in South Africa will be a key consideration, especially for our Food business. We remain firmly committed to executing our clear strategies to grow the business, and we will continue to focus on further reducing working capital and improving cash flow while maintaining a healthy balance sheet. Thank you again for joining us today. Back to you, Roy, for the strategy update.
Roy Bagattini: Thank you, Zaid. As you may recall from our FY '25 final results presentation, and as I discussed earlier, our heavy lifting is behind us, which is why I'm no longer talking to you about fixes, repositions or turnarounds, no longer talking about the inputs. It's now about the outputs, the outcomes of that heavy lifting and how they're translating into proof points into tangible results. But we are not only leveraging past initiatives, we're also looking towards the future. Our focus is squarely on key drivers of growth and how we will continue to differentiate ourselves in the market. First and foremost, we remain deeply committed to protecting and growing what we are already known and loved for, our core businesses, which consistently deliver innovative, high-quality and sustainable products that customers love and trust. At the same time, we are expanding into new opportunities, whether through adjacent categories, new formats or selected strategic market opportunities. And this is all anchored in delivering a leading customer experience across all channels, enabled, of course, by our new loyalty program and more importantly, our exceptional differentiated in-store service, the type of service you just don't find anywhere else. Starting with CRG. As you may recall, we've had a very deliberate 4-step plan that we implemented in Australia to lay the foundations for CRG's long-term success. This culminated last year in the transformational reconfiguration of CRG's operating model, setting it up as a standalone business with the ability and the capability it needs to execute on its potential as a true House of Brands. CRG has exceptional competitive advantages, strong omnichannel capabilities, scale and expertise in sourcing and distribution and now also a fit-for-purpose operating model and structural economics. This is already driving increased alignment, faster decision-making, greater efficiency and critically, a stronger culture of accountability. And as we said, albeit somewhat early days, we're already seeing the benefits of this in our latest results. Whilst Australian retail foot traffic is still subdued, we're seeing improved conversion rates in our core businesses and improved top line momentum, particularly in Witchery and Politix which are benefiting from a more distinct market position and style aesthetic. We're expanding our wholesale presence in Australia and New Zealand and leveraging our unique and market-leading position in South Africa, where sales already exceed ZAR 1 billion and where we drive good cross shop with our premium foods customer, and I'm very pleased with how these channels are performing. We're seeing double-digit growth across our Myer pads and wholesale business in general and have had a very successful launch of Politix in South Africa with more to come. CRG houses a portfolio of iconic brands that are deeply embedded in Australian society with a legacy that underpins its continued relevance and resilience. We now have a solid foundation in place. We have new leadership in place, and we're entering H2 with significantly better inventory, both in quantum and quality. We've reduced our cost of doing business, and we've improved efficiency. And I have every confidence that as momentum continues to build through the second half, we will deliver a much improved result in FY '26 and beyond. Turning now to FBH, where we have spent the past couple of years fundamentally fixing and repositioning our fashion business. It is a business which has immense potential, but which wasn't delivering consistently to this in the past. And that inability to protect and grow our core business came down to outdated systems and processes and an underinvestment in core foundational capabilities. We've addressed that by investing over ZAR 1.5 billion in our value chain transformation, enabling multiple capability shifts across our organization, and that has fundamentally transformed our ability to execute. And we can see the impact of that across a number of metrics. On-shelf availability is now well over 90%, 20 percentage points higher than it was just 2 years ago. Trading densities continue to improve and are up almost 10% on last year in this past half. We've gained market share consistently since May and have delivered the highest total and like-for-like sales growth across the peer group in the half. A key initiative to further protect and grow our core lies in our clearly defined must-win categories, where through targeted price investment and range improvements, we're strengthening relevance and competitiveness where it matters most. You'd recall from our last results presentation, we spoke about the opportunity we saw in our kids and baby business. We're now offering the same Woolies quality at more compelling prices across essential kidswear. This is not only strengthening our leadership in the category, but it is also driving a halo effect across the broader fashion business. And we're increasingly leveraging technology to improve how we manage our FBH business. Using AI-generated product insights, we're optimizing sell-through rates in season, which in turn also reduces post-season clearance. And we're using AI to refine our clearance pricing based on customer behavior and trade patterns to drive improved markdown mix, all of which ultimately goes to margin. So we're doing a lot to protect and grow our core fashion business. But equally, we're pursuing a number of growth opportunities. Our business in the Rest of Africa presents significant scope for further expansion, notwithstanding the inevitable challenge of having to navigate exchange rate volatility. We trade in 10 other African countries, all established markets for us, which we know and understand well and where the Woolworths brand is highly regarded. We've recently opened our first Beauty flagship store in Nairobi, Kenya, and we've rolled out our WBeauty range across a further 33 doors in the Rest of Africa during the last half. WBeauty is now in 45 stores outside South Africa and trading really well for us. We're now trialing our branded Beauty range across the continent, too. Importantly, Africa delivers higher EBIT margins, making this a margin-accretive growth opportunity for us with returns set to strengthen further as we scale. We're also expanding our smaller format WEdit stores, which are housed under Woolworths Ventures and which are trading very well, delivering like-for-like growth ahead of the main FBH business and growing total sales by almost 50% in the past quarter alone, a truly remarkable performance and the result not just of our continued rollout, but how the more curated offer of WEdit and its high-touch service is really resonating with our customers. We've been clear for a while that our opportunities aren't limited to apparel. Our discrete Beauty and Home strategies are clearly paying off for us and not just from a top line perspective, but in the role these categories play in further enhancing our position as a quality lifestyle brand. We have become the beauty shopping destination in the market. We not only offer the strongest proposition of beauty brands, service and experience, but our WBeauty range is increasingly sought after. Our Home business delivered double-digit growth again this past half. And like Beauty, we have plans in place to double it in the next few years, leveraging the strong cross-shop opportunity with our frequent food shopper. We're selectively expanding both our home product range and our in-store space allocation to create an even more inspiring lifestyle destination, bringing the Woolies difference to all aspects of our customers' lives and homes. We recently invited some of our top customers, media and industry and social influencers to the launch of our autumn/winter homeware range. Let's take a look. [Audio Gap] Turning now to what is effectively the powerhouse of our group. Our market-leading Food business, which continues to go from strength to strength, gaining profitable market share month after month, bringing new customers into the brand and increasing share of wallet from existing ones. And that's driven largely by our unassailable competitive advantages built over decades, which are incredibly difficult to authentically replicate. Our unmatched expertise in food science and technology, a best-in-class cold chain, our unrivaled quality, innovation, food safety and sustainability credentials as well as the overall customer experience, the very fundamentals which truly set our Foods business apart. And we're leveraging these differentiators to protect and grow our core. We continue to drive innovation across our business with strong uptake in new lines, including our very successful air fry and braai range, and we continue to own the market in special occasions. We increased on-shelf availability yet again while simultaneously reducing waste year-on-year. We've added to our marketplace presence, bringing greater convenience to more and more customers with Woolies After Dark, now available until midnight in over 70 locations. And we're continuing to uphold the highest food quality, safety and sustainability standards in the industry. And on that note, I am very pleased to share the recent launch of our advanced AI agent, which we call Labtrace. We already conduct close to 5,000 routine food safety tests each year across products like meat and chicken as part of an established food safety assurance program. Our Labtrace agent monitors these results as they come in from the laboratories, immediately flagging anything that falls outside specification. Further, leveraging 5 years of historical testing information and continuous machine learning, it assists our teams to trend results over time and identify patterns or emerging risks across products, suppliers or regions. This is another way we are ensuring that we are providing our customers with the best products and the highest safety standards in the industry, the quality standards that have defined our food brand for generations. A critical enabler of our growth is our new state-of-the-art Midrand DC, where we've invested over ZAR 1.7 billion in almost doubling our footprint to support future volume growth. To give you an indication of its sheer size, it stretches over a kilometer in length and can house almost 20 full-sized rugby fields under roof, one of the largest single roof buildings in Africa. Clearly, a sizable investment for us and one which does impact GP margin in the short term, but it is critical to supporting the future scale of our food business. We are also expanding for more, whether it be in our African markets, which are delivering double-digit growth or in WVentures which houses WEdit, Food Services, WCellar and our pet businesses and where we've opened almost 50 new locations this past half. Our Food Services business, which includes our Cafe, Coffee and NowNow formats continue to deliver double-digit like-for-like growth, and we're very excited by the opportunities we're exploring beyond our traditional store footprint. be it showing up at events, on Uber Eats or our more recent pilot into school tuck shops, accessing our future or next-generation customer, all with the objective of building a really big food services business that is anchored in and amplifies our iconic Food brand. We continue to take market share in WCellar and we are very pleased this past half to see Absolute Pets open its 200th store with the business continuing to deliver double-digit margin accretive top line growth. The true potential of these ventures isn't just in accelerating near-term growth, but also in bringing new and future customers into the brand. It's about reaching our customers where it counts, whether it's our conveniently located WEdit stores, our expanding NowNow footprint or our food trucks and tuck shops. It's a strategic move to grow brand love and loyalty amongst the future generation of Woolies customers. So when we think about our key sources of growth, we're doing a lot to protect and grow our core and also expand for more. But the area where I believe we really lead is in creating a truly exceptional customer experience across all touch points. It is after all through the combination of compelling in-store experiences and strong digital innovation that ensures we stay connected with our customers in every way that matters. Our new loyalty program MyDifference marks a major shift in how we reward and engage our customers, moving beyond a traditional points-based model towards a more personalized, transparent and insights-driven approach. It's already driving incremental sales and improved cross-shop with more to come as we deepen engagement and provide even greater value to our customers. We continue to invest in our data and analytics Center of Excellence and various digital initiatives, including our online and on-demand offerings, and that's resulting in better delivery times, improved stock fulfillment, increased returning shoppers and in fact, a more than 20% uplift in average basket value this past half. Importantly, Dash is also bringing in a new generation of younger customers into our brand. A noteworthy stat, the average customer value of our omnishopper is almost 5x that of a store-only shopper. So Dash is not only just important to our customers as a channel, but it is increasingly important to us, too, and one that's becoming more profitable as we enhance our mix and operational efficiency. This past festive season also saw us launch Online Discovery Miles redemption, a first in SA for online food, attracting almost 10,000 customers, a number of whom are entirely new to our online channel. In our last update, we gave you some insight into our next-generation store formats, including our reimagined full-line Tygervalley store, our flagship Durbanville Food's Emporium and recently opened Ballito store, all of which have meaningfully elevated the role our stores play in our customers' lives. I'm very pleased to share these stores have sustained growth rates multiples of that of our overall portfolio, a testament to the benefit both we and our customers derive when they experience the full Woolies difference. We've launched over 20 of these so far with a further 10 in the pipeline. So you can expect to see a lot more in this space, particularly as we now double down on leading in customer experience. Before I share some final thoughts with you regarding our outlook, I'd like to reflect on our investment thesis, which we haven't shared with you for some time. Firstly, at the heart of our group's value creation is our premium Foods business with strong runway for continued above-market growth and sustained best-in-class return on capital. Our transformed Fashion, Beauty and Home business with its strengthened foundational capabilities and the benefit of our new loyalty program is now well positioned to drive greater cross-shop across all our businesses and deliver sustained profitable growth. And our reconfigured Country Road Group has a clear pathway to margin recovery with opportunity to unlock value for the group. With a robust balance sheet and disciplined capital allocation, we generate strong cash flow to fund investments, both organic and inorganic. We've proven our ability through the acquisition of Absolute Pets to make easily digestible acquisitions in geographies and market segments we know and understand and which complement our existing businesses. And that's something we're giving increasing attention to. But even beyond investing in future growth, we have potential to return excess cash to shareholders above our already sector-leading payout ratio as we've demonstrated again in our share buyback. This is not only value accretive to our shareholders, but clearly demonstrates the confidence we have in the future of our own business. And finally, our Good Business Journey program, which is embedded across the group and reflects our commitment to being one of the world's most responsible and sustainable retailers. Our investment thesis is clear and compelling, precisely because of the significant work we've undertaken and the investments we've made to set ourselves up to grow our difference for good. Turning now to the outlook for the balance of FY '26 and beyond. Whilst macro indicators in South Africa are looking more positive, trading conditions across both our geographies, but particularly in Australia, are likely to remain somewhat constrained. Lower inflation does impact top line growth for retailers, particularly in the case of food retail. And naturally, we're not immune to the competing threats for the discretionary wallet from online gambling to the discount online players. That said, our group is stronger and better positioned to compete than it has been for some time. The heavy lifting is behind us. We have clear and compelling strategies and a strengthened foundational capability to execute them. I have every confidence in our collective ability to deliver against our commitments and achieve an improved performance for the full year and beyond. And as we've demonstrated, we'll keep evaluating and refining our capital allocation towards return-accretive investments and as we continue to enhance our group's value creation prospects and profile. And with that, we'll now open up for questions.
Jeanine Womersley: Good morning, and welcome to the Q&A section of our interim results presentation. Our first question, Roy, your GP margin in FBH is down on last year. How much of this can be ascribed to your price investment in kids? And how confident are you that this is still the right strategy?
Roy Bagattini: Yes. I mean it's still relatively early days, but the results we're seeing are pretty encouraging. I think you'd recall, we saw an opportunity to take meaningful market share in key categories like kids and baby. These are categories which play to our strengths really. And when one thinks about the distinct competitive advantages we have, we believe we have the right to win in these categories. It's really about our quality credentials, our ability to drive cross shop and obviously, a bigger halo back into the brand. When one thinks about the size of the prize, you really need to think about it not so much in terms of GP percentages, but more in terms of GP rands. Obviously, percentages are a big feature in a lot of our metrics. But as a retailer, we obviously have bank rands, not percentages. And the value of the opportunity we see here far outweighs the opportunity in other categories where margin may be higher, but growth potential is lower. I also think, though, that when one steps back and looks at it, for us, it's both a customer and a commercial decision for us. And it's translating into results. We've gained market share in kidswear and that's notwithstanding lower pricing. So on a volume basis, our share gains would even be higher. The past summer season, in fact, we sold 30% more volume in our kids price investment basket. And that trend has sustained, and we've recently launched our winter basket, and that's already trading up 28% in volume terms. So to answer your question, yes, we have a lot of conviction that this is the right strategy. It did cost us some margin, but we banked a lot more rands.
Jeanine Womersley: Thanks, Roy. One of your foods competitors recently reported results, and they seem to have sustained their momentum into the start of the new calendar year. Your momentum appears to have slowed somewhat by comparison. Can you comment on this, please?
Roy Bagattini: Yes. I mean, look, I mean, you would have seen that, in fact, our momentum into the start of H2 has picked up a bit compared to where we finished the first half. But you're right that when you do step back and look at the overall picture, growth has slowed versus the start of the financial year. And in fact, there are a couple of reasons for that. Firstly, you know that we're a 70% fresh business. And so weather events generally have greater bearing on us than a primarily sort of non-fresh or long-life business. We've experienced some very significant cold and wet weather up north in the country, which has impacted certain categories and the availability within those categories. In some cases, entire crops were lost. And in other cases, quality was affected. And so there were batches of produce, which we couldn't take on simply because they didn't meet our specification, and that has had some impact. Secondly, meat. Meat is a big category for us, and we've seen the impact of reduced volumes as a result of foot and mouth in that area of our business. And then, of course, there's the overall impact of easing inflation. So net-net, those are the -- I think, the key areas. But clearly, I think there has been some slowing trends across the market more generally, particularly in terms of like-for-like sales. But I think you've seen that we've continued to outperform the market on a relative basis and again, particularly in terms of like-for-like sales, albeit that in absolute terms, revenues have obviously moderated somewhat.
Jeanine Womersley: Roy, we have a couple of questions related to Food inflation. Well done on the results. A few questions from me. What is the inflation in Food currently? In other words, from Jan to Feb? Another question, your price movement in Food of 4.6% for the half is well above competitors. Why is that?
Roy Bagattini: Okay. Zaid, I'll pick this up and then you can add if there's anything from your end. But to answer the first question, inflation for the first 8 weeks of this second half is broadly in line with what we've reported for H1. And I guess our guidance for the year that we've given for H2 rather is somewhere between 4% to 5%. Then on to the question as to why our Food inflation is above that of our peers. There are several reasons behind this. I mean, mix effect clearly is one of those. We have a very different basket to that of our more traditional peers. And we're seeing relatively higher inflation on key categories where we have inherently higher market share, particularly in meat, in fact, which accounts for more than 10% of our sales and where core meat inflation is up almost 30% on a year-over-year basis as a result of foot and mouth. So excluding meat, though, our price movement is a little bit more than 3%. We are seeing price declines, particularly in some of the more commodity lines like maize and rice, which account for a bigger share, in fact, of our peers' baskets. And remember, our Woolworths internal inflation typically lags that of our peers. When inflation typically ticks up, we're a little bit behind that. And when it comes down, we're a little bit behind that. And that's primarily as a function of our exclusive supplier arrangements. Importantly, we're also driving much more effective promotions. So we're obviously selling a lot more at full price.
Jeanine Womersley: Thanks, Roy. A question on cost expense growth in the WSA businesses is ahead of sales growth. What was the cause of this? And can costs be brought under better control going forward? What can we expect from costs in H2?
Zaid Manjra: I'll take that question. Thanks for the question. Yes, I think as we shared at the results presentation last year, we expected the expense growth in FBH and Food to be in the upper single-digits. So a 7% growth was not entirely unexpected. Our top line growth was a bit softer than we had anticipated, particularly in Food, as inflation eased and which we spoke about, which admittedly led to expenses growing ahead of sales. There are a couple of factors to consider within this. Firstly, as I've said in my presentation, we've made a number of significant investments in strategic and growth-enabling initiatives over the last few years, including in the value chain, next-generation stores and new format stores. So that has contributed to that. We've had above inflation employee cost growth. And again, there's higher depreciation charges from the investments we've made. And this has, of course, impacted the growth. I've also called out the impacts of the movement in exchange rates that's very much within costs, and that has certainly contributed to that. And were it not for these impacts that I've just spoken about, cost growth would have been between 5% and 5.5%, so about -- well in line with inflation. The second half is likely to be broadly similar to the first half. And having said that, I think it's -- we always endeavor to contain cost growth within sales growth. And we are undertaking a series of cost containment initiatives in the second half to ensure that we deliver to our commitments of a better full year result. Yes, thanks.
Jeanine Womersley: Thanks, Zaid. Roy, quite a topical question. How is foot and mouth disease impacting your Foods business?
Roy Bagattini: Yes. No, I mean, obviously, this has been devastating for our industry and particularly for our country's farmers. Our availability, though, has not really been affected as we've been able to switch supply from farms and abattoirs to those that haven't been affected. And that's one of the benefits of our largely exclusive supplier arrangements and supplier base that we have. But the impact we are seeing is on pricing and resulting volumes. Pricing in our core meat business, as I said a little bit earlier, is up around 30% on last year, and that's impacting our overall inflation numbers. And we're probably selling around 70 tonnes less meat per week as a result of that. And I think everyone is facing an ongoing risk until the entire SA herd is vaccinated. The good news is that we have already received over 1 million vaccines, which are being distributed to the key hotspot areas and government has allocated additional funding to support this drive. The opportunity we have as well, I mean, we have an in-house veterinary team. And given our expertise in this area, we're actively engaging with the Minister of Agriculture to see how we can assist.
Jeanine Womersley: Thanks, Roy. Why are you so bullish on the rest of Africa and growing space there when other South African retailers are closing stores? You're also clearly seeing the negative impact of the currency volatility in these countries.
Roy Bagattini: Yes. Well, firstly, our peer markets may differ to ours. I mean, so it's not necessarily you're comparing exactly the same markets for markets, so direct comparison isn't relevant. The African markets that we operate in are all markets where we have an established track record. And in some cases, we've been there for 30 years. And we trade very profitably there. So there are markets where our brand, Woolworths is known and loved in high regard. So we're also very clear about the markets we want to be in. We're not venturing beyond the frontiers at the moment. We're very comfortable in the 10 markets that we currently operate in. Our approach has also been a very measured one. It's about being really building strong relationships with key stakeholders from government, landlords, suppliers. We built a resilient supply chain to support those businesses. We've also established in-country local sourcing where we can and manufacturing capabilities. And we've very importantly, curated our offer to be more directly appealing and relevant to local consumer needs. So again, I mean, for us, a really compelling customer and commercial opportunity. Also, I mean, to be clear, we're not in these markets as a rand hedge, but rather because of their growth potential. And certainly, by nature of these markets, one must expect some degree of volatility. But notwithstanding the ForEx impacts that we have here, these markets are still margin accretive for us and will become increasingly so as we scale further.
Jeanine Womersley: Thanks, Roy. A question on Country Road Group costs. You've guided to removing AUD 30 million of annualized cost from CRG, but that doesn't appear to be the case. Why?
Roy Bagattini: Zaid, you want to pick that up?
Zaid Manjra: I'll take that as well. I see another question on cost, interesting focus on costs. Absolutely, I think what -- when we spoke previously in the last financial year, we had indicated that we had removed between AUD 15 million and AUD 20 million of costs in Australia. And we did say as well at the same time that on an annualized basis, that would have been circa AUD 30 million, which you are correctly pointing out. And we also, I think, indicated that this was primarily to offset the post David Jones separation stranded and the dyssynergy costs we are seeing coming into Country Road. We have largely achieved this with savings still to flow through the next 12 months. Our year-on-year Country Road costs are flat on last year at just under AUD 320 million for the half. And if you want to kind of work the numbers out, if you take last year's number and you reduce it by the sort of the pro rata share of the cost that we -- the AUD 30 million you spoke about. So if you take out AUD 15 million from that and then if you add and take into account the normal inflationary and staff cost increases of circa 4%, you'll get a number that's not far off from what we have reported. And the difference is really due to some additional marketing that we have invested in, in order to drive top line sales.
Jeanine Womersley: Thanks, Zaid. Roy, congrats on a really encouraging FBH results, particularly versus the peer group. What gives you the confidence you can sustain this level of performance?
Roy Bagattini: Yes. Well, firstly, I mean, thank you. We're certainly very pleased with the performance we've turned in, particularly again on a relative basis. Look, it's a great question, and we've had a number of these questions in the past. Of course, any fashion business has a degree of cyclicality. You're never going to get 100% right 100% of the time. I mean apparel is quite susceptible to shifts in trends in discretionary spend, too. And if you go back to my presentation, I alluded to the fact that we are seeing more demands on the discretionary wallet from the likes of gambling -- online gambling and certainly some of the newer online entrants. But I do think we have fundamentally strengthened the core disciplines and capabilities particularly given the investments we've made over the past few years in this business. You'd recall, perhaps when we spoke about our turnaround in the context, we were talking about 2 phases of the turnaround. The first one being about the market, a deep understanding and appreciation for the market and the opportunities for the customer and who we are as a brand and then really focusing on getting product increasingly right. That was all in that first phase. And then the second phase really shifted to us being really more operationally competent and capable and improving operational performance, fundamentally targeted at driving up availability. And it has been heavy lifting. And there's no doubt there's always going to be more to do, but it's fundamentally transformed our ability to execute and deliver a more consistent more sustainable level of performance. And in fact, that's evident -- well evident in some of the score you're seeing on the Board, both operationally and financially. And so I guess, yes, I mean, my answer is clearly, yes, I do think this is something that is sustainable.
Jeanine Womersley: Thanks, Roy. You break out growth in the Beauty and Home subdivisions. Please, can you give us the growth number for fashion clothing? I'm happy to take that. It's just over 5%. Your Home business has grown well. You've also said that you would give this business more trading space. How much of Home's stronger top line performance came from the reallocation of space?
Roy Bagattini: Yes. I mean, great question. I mean I think you're right. We saw really good growth from Home this past half. I think we're up about 14%. But in fact, that was actually mainly driven by like-for-like growth, which is close to 11%. And that was underpinned, I guess, by our product, particularly in kitchen and dining categories, where we are really driving the cross-shop opportunity with our food customer very, very strongly, leveraging our loyalty program, too. I guess -- I mean, that aside, I mean, the opportunity we see for Home and increasing space for Home, in fact, is very significant. And in fact, we're looking at the opportunity to pursue a number of standalone stores as part of that strategy.
Jeanine Womersley: Roy, another fairly topical question. How do the recent events in the Middle East impact your business?
Roy Bagattini: I'll pick that up, Zaid. Maybe if there are anything you can add too. Well, I mean, I think our different businesses will obviously be impacted in different ways. If you take a look at our Foods business, I mean, we are in a very fortunate position in that more than 90% of our products in our Foods business is locally sourced, and we have largely exclusive relationships in our supply base, which gives us great visibility and security over our supply. Naturally, however, I mean, there will be indirect impacts from higher energy costs, which could play through to higher food inflation at an industry level. From an FBH perspective, a little different in that we could see upward pressure on carrier costs, container costs and congestion, I think, at ports. impacting both container availability and consequently, delivery delays. We're seeing the intent to sort of move shipping lines around the Cape of Good Hope, so being rerouted whilst, I mean, obviously, this hasn't officially hit us yet, but it could do so clearly if things endure and continue to escalate. So yes, I think from a sustained oil price, that ultimately will play through into broader inflation, potentially the interest rate outlook, which could be impacted. But I think really the more immediate factor I would be concerned about is consumer confidence, which is likely to, therefore, remain subdued as we sort of navigate this pretty uncertain global context.
Jeanine Womersley: Thanks, Roy. We have a number of questions on inventory levels in apparel and the outlook for GP margins. Does stock clearing in FBH continue into second half with a similar margin impact? Can you comment on the health of the inventories at WHL FBH as it rose at period end? Can we expect further GP margin dilution in H2? Can you comment on your inventory levels specifically in FBH versus CRG and the progress you've made to clear excess inventory? What can we expect from H2 GP margins? So I think a similar theme there, Zaid.
Roy Bagattini: Great questions.
Zaid Manjra: Shall I take that one?
Roy Bagattini: Give it a go.
Zaid Manjra: Yes, I'm glad to say I think inventory levels have come down across the group. And we've made very, very pleasing progress to clear excess inventory as we have guided and particularly in CRG. CRG's inventory levels are actually 15% lower than they were last year. and they've done a phenomenal job to really clear that. And again, when you look at the results, we call it out very much in the sales that we've had in the first half, which impacted our margin. But we're getting into the second half with much, much cleaner stock. In FBH, inventory levels are broadly in line with last year at December '25. But compared to June '25, we're actually 7% down. So that's also a very healthy improvement from where we were 6 months ago. Post clearance sale, which we were in sort of summer clearance now, inventory is actually lower than it was at the same time last year. So again, I think we've done a good job in clearing that inventory. And again, I think to point out that the FBH inventory is predominantly -- it's all year product. There's a bit of seasonal stock, but we clear that within this so we can work through the all year product during the course of the next 6 months. In FY '25, we saw a number of headwinds to our GP margin, and we've spoken about that. It was the higher levels of promotion, the one-off supply chain cost, a weaker dollar. And you won't comp this to the same degree looking forward. Looking forward, in terms of the second half, I expect the CRG gross profit to certainly improve in the second half from last year. As I said, they're coming into much, much cleaner and better stock. And while we will continue to clear excess inventory in the Fashion, Beauty and Home business, it is going to be to a much lesser extent than we had last year. So we're also expecting that to certainly improve in the second half, notwithstanding the investment we're making in kidswear.
Jeanine Womersley: Thanks, Zaid. Maybe sticking with Australia, how much of the proceeds from your sale of Bourke Street or the Bourke Street building have you repatriated to South Africa? And how should we think about the balance?
Zaid Manjra: Yes, I'll talk to this one again. I'm glad it's not about costs but about funds that we've got in Australia. Look, I think we mentioned we've realized over AUD 220 million from the sale of the Bourke Street property. We have repatriated AUD 50 million in the first half, and we've also repatriated a further AUD 55 million since then. So we have just over AUD 100 million left in Australia. And as the Country Road Group's performance improves and its cash generation continues to improve, which it is, we'll continue to repatriate the balance over the course of the next while.
Jeanine Womersley: Thanks, Zaid, Given the EBIT drag CRG provided to the second half and the prior period and the growth reflected over first half '26, is it reasonable to assume second half '26 is at worst break even and I think a similar question here. Roy and Zaid, thank you for the presentation. Considering seasonality and the circa 1.6% sales growth achieved in the first 8 weeks, do you expect CRG to be profitable at the EBIT level for H2?
Roy Bagattini: Yes. Well, the answer is simply, yes.
Jeanine Womersley: Great. Thanks Roy. We have a question here on capital allocation, and I suggest we probably close after that. We're almost 30 minutes on Q&A alone. Roy, you've made significant investments in your core business over the past few years, and you're now alluding to the opportunity for inorganic growth. How should we think about your priorities now from a capital allocation perspective?
Roy Bagattini: You're right. We've invested roughly ZAR 10 billion over the last 3 years across a number of sizable initiatives. These have largely been back end or what we call growth enabling investments. And we're starting to see the benefit of these already. We are nearing the end of our heavier CapEx cycle and the extent of investment will certainly ease, which is equally important for us, though, is the fact that the nature of the investments will shift to more front-end and customer-facing, particularly in terms of our physical stores and online, where we see significant scope here to obviously attract new customers and increase share of wallet from existing ones. So investing in our core businesses really and our existing front-end growth initiatives remain a significant opportunity and priority for us. I think in terms of the M&A component of the question, we're not actively looking for acquisitions to grow. Significant runway for organic growth within all of our businesses. But naturally, we do get a number of opportunities coming our way and that we take a look at from time to time. And certainly, if something like another absolute pets had to come our way, we would absolutely take that pretty seriously. So when we think about this sort of thing, I mean, it's about bolt-on acquisitions, an existing category in which we may be underpenetrated or a newer category that is complementary to our business. Either way, it needs to sort of being able to leverage off our core competencies and our existing strengths. And of course, it needs to make both operational and financial sense for us. And then importantly, we will continue to sort of evaluate track and ensure that it contributes accretively from an investment perspective.
Jeanine Womersley: Roy, Zaid, thank you. That brings our interim results presentation to a close. Thank you to everyone online for joining us this morning. We do have the opportunity of engaging with a number of you over the next few days, which we look forward to. Thanks again.
Zaid Manjra: Thank you. Thank you very much.
Roy Bagattini: Thanks, Jeanine. Thanks for the questions, and thanks for everyone for tuning in. Thank you.
Zaid Manjra: Cheers. Bye-bye.